Operator: Good afternoon ladies and gentlemen and welcome to the Second Quarter Results Analyst Conference Call. I would now like to turn the meeting over to Mr. John Sadler, Senior Vice President, Corporate Affairs and Investor Relations. Please go ahead, Mr. Sadler.
John Sadler: Thank you, Operator. Good afternoon, ladies and gentlemen. Thank you for participating in our conference call to discuss Element’s second quarter results. Joining us today to discuss these results are Steven Hudson, Element’s CEO; Bradley Nullmeyer, Element’s President; Dave McKerroll, who heads up Element's Rail and Aviation verticals and Michel Beland, our Chief Financial Officer. A news release summarizing these financial results was issued earlier today and the financial statements and MD&A for the three months and six months periods ended June 30, 2015 have been filed with SEDAR. This information is also available on our website at www.elementfinancial.ca. As well, a presentation that accompanies Management’s comments and comps has been posted to our website in PDF format. This is located in the presentation section of our website and we invite you to open it now. Before we begin, I want to remind our listeners that some of the information we are sharing with you today includes forward-looking statements. These statements are based on assumptions that are subject to significant risks and uncertainties. I’ll refer you to the cautionary statement section of our 2015 second quarter MD&A for a description of such risks, uncertainties and assumptions. Although Management believes that the expectations reflected in these statements are reasonable, we can obviously give no assurance that the expectations of any forward-looking statements will prove to be correct. You should also note that the company’s earnings release, financial statements, MD&A, and today’s call include references to a number of non-IFRS measures which we believe help to present the company and its operations in ways useful to company and investors alike. A reconciliation of these non-IFRS measures to IFRS measures can be found in our MD&A. I’ll now turn the call over to Steven Hudson, CEO.
Steven Hudson: Thanks, John and thank you for taking the time to join us late afternoon early evening. I’d like to start by turning to page four. As we’ve said earlier, yet another boring quarter where the company has met and exceeded its results and we’re quite happy to walk you through the results. Earnings on operating cash flow are $0.31, which is $0.15 higher than the previous quarter, and over 100% higher than the same period last year. After tax adjusted operating income of $0.23 a share is 10% higher and meets consensus. As important, the ROA and ROE growth continues. Pre-tax ROA was 3.6%, as we march on to our target of 4%, pre-tax ROE was 12.3%, 11% increase over the previous quarter and up over 50% same period last year. What’s driving all this is a very strong business model. As my partners will talk about in a second, 1.8 billion originations, we believe is a record quarter and it handsomely exceeds all expectations on The Street. And finally on page four, we are a proud Canadian company headquartered in Toronto but we are a US-based business. We were benefiting from a significant U.S. recovery, which is growing in strength and my partners will speak to that. U.S. assets post 67% of our earning assets are U.S. based assets over 70% post the GE Fleet closing and we have had record U.S. originations in both our fleet, commercial, and vendor, as well as our rail business. So it’s a good quarter and bodes well for the third and fourth quarter and the following year. Page five, our growth continues. Some comments as John and I have been on the field dealing with investors is there growth in rail and the answer to sorry into fleet and the answer is absolutely yes. You’ll see our asset growth is just under 10%, so the assets are growing higher than we anticipated, the business is performing better and we see opportunities in organic growth, as well as continuing a consolidation and an acquisition. we’ll speak to that at the end of the call. PHH Fleet is as we mentioned in Q1, I want to reinforce again this call that the acquisition and the integration sorry the integration is complete. We have no dependency whatsoever on PHH. I would note that one of the learning’s from the PHH process is that we were able to upsize our integration savings as we progress through the piece of integrating that company, hopefully that will be the case with the GE transaction, but today we’re sticking with our 90 million, 95 million as Brad and Michel launch into their integration efforts, commencing in September. We believe we have the scale and the depth and the breadth to not only drive results but to continue consolidation of the fleet business more as I mentioned, later on that. On page six some interesting points, which are the, we talked about the free cash flow at $0.31, after-tax operating EPS of $0.23, leverage if you remove we did bring preferred shares and subordinated debt on our balance sheet in advance of the closing of the GE deal that decreased leverage to 4.19. If you X out those additional equity brought in for that transaction leverage would have been 4.6 to 1. That is the leverage test you see on the fourth box with debentures treated as just debt not in the equity base. As well, ROA and ROE continue to increase and March on to our expectations. On page seven, fee income continues to grow quite handsomely in terms of the split 42, 58 between fee and spread income. We are trending towards 45% for the year end and hopefully in ’16 you’ll see that to be a 50-50 mix of fee and spread income. On page eight, as we mentioned we’re a Canadian headquartered company with a U.S. business. If you look to the Q2 of 12 months ago, we were at 41% U.S. based. Once we close on the GE U.S. business at the end of August that will be 70%. So and we’re seeing that across all of significant growth across all of our U.S. businesses, which Brad and Dave will speak to. In fact, Dave will speak to right now.
David McKerroll: Thanks Seve. Turn to slide 10. The results we put up on our rail vertical were in line with our expectations. Originations in the period were 725 million that’s up from 161 million in the previous quarter. This is in line with our plan for the year and we continue to expect strong volumes from our trinity program in the second half of 2015. Yields were comparable to the previous quarter, bringing in the ROA at 3%. Although OpEx was slightly higher this quarter it should decline to under 1% as our portfolio grows. As we detailed last quarter, we have minimal retrofit exposure with respect to our tank cars used in transporting flammable commodities, due to the age and type of the cars in our fleet. Our rail portfolio remains very attractive. We continue to have the youngest rail car portfolio in North America it’s well diversified by car type, lessee, industry, commodity, and lease term. Turning to slide 11, we’ll talk about our aviation vertical. We had another good quarter there. Originations for the quarter were up slightly 10% over the same quarter for last year. Yields were strong again due to good fee income stable OpEx ratio there of 80 bps and an ROA of 5%, up from 4.2% from the same three months period last year. We continue to put more emphasis on generating advisory, management, and syndication fees in this vertical. In the second quarter, we closed a transaction called ECAF 1, which is a commercial aviation fund where we finance 49 current generation commercial aircraft with an appraised value of 1.6 billion. The transaction was financed by 1.2 billion in ABS notes and equity from various institutional investors, including Element, which has a minority interest. Forecasted returns for the equity participants in this transaction are in excess of 16%. We have BBAM, the world’s third largest operating less or of commercial aircraft as a servicer of the aircraft for the fund. Element is the administrator of the fund on behalf of all of the investors. Element generated fee income in this transaction by structuring the debt and sourcing the equity and will continue to earn ongoing management fees for acting as administrator. We think this transaction really establishes our capabilities to develop unique financing vehicles, sorry utilizing our structuring expertise and our relationship with industry players and institutional investors. And we are currently developing additional funds, which we will be bringing to market later this year and in 2016. And with that, I’ll hand it over to Brad.
Bradley Nullmeyer: Thank you, David. We continue to be pleased with the performance of our commercial and vendor financing and our fleet management business. On slide 13, you’ll see our commercial and vendor finance unit originated record volumes during the quarter, with volumes increasing from 268 million in Q1 to 428 million in Q2, a 60% increase. C&V did this while increasing finance yields and fee based income improvements to increase syndication efforts in the quarter. The combined impact resulted in significantly increased financial revenue yield compared to Q1 and a higher yield compared to Q2 of last year. Our OpEx ratio in this unit is in line with our expectations and continues under the 2% limit that we committed to in prior quarters, and that we first obtained in Q1, including the impact of our fully allocated corporate expenses. As a result, ROA increased significantly in the quarter to almost 4% and improved compared to Q2 of last year. Overall, the year-to-date results for C&V are tracking ahead of last year and we expect this to continue for the remainder of the year. During the quarter in our fleet business on slide 14, we were successful in executing a definitive agreement to acquire the GE Fleet business in the USA, Mexico, Australia and New Zealand for 8.6 billion. At the same time, we enhanced our global offerings and deepened our alliance with BNP Paribas, by executing an expanded and enhanced Element-Arval Global Alliance agreement. In a related transaction, BNPP announced that they have purchased the remainder of GE fleets business that is based in Europe. We continue to see strong growth opportunities in both deeper product penetration with our current customers, as well as new customer opportunities. As you can see on slide 14, our yields have stayed relatively constant over the last few quarters, increasing slightly from Q1, while consistent with the second quarter of last year. Similarly, our ROA has stayed constant at just over 3.2%, notwithstanding that our OpEx ratio is up on a fully allocated basis as we build our infrastructure to accommodate future growth and the GE acquisition. While Q2 of 2015 is not directly comparable to Q2 of 2014, you can see on the slide that the impact of our North American fleet strategy and our net interest margin, which is up from 5.4%, 6.6% and our ROA, which is up from 1.9% to 3%. As we integrate GE fleet and our Element Fleet businesses and realize on the revenue opportunities and efficiencies through the combined operations, we expect that our total fleet ROA to steadily increase from the 3.2% to approximately 4% by the end of 2016. On slide 15, quick update on the GE fleet acquisition. We have received the Hart-Scott-Rodino early approval and are on track to close the North American transaction at the end of August and the Australia New Zealand transaction by the end of September. As mentioned by Steve earlier, we reaffirmed our targeted integration savings of $90 million to $95 million within 18 months after close. These will be a combination of procurement savings, cost of funds reductions, and operating efficiencies after consolidation. We’re well underway with our integration planning with external and internal teams and oversight from our Board of Directors. Consistent with the PHH integration, we have directly tied management incentives to the achievement of specific integration targets. Finally, the acquisition of GE Fleet will provide us with the platform on which we transform the provision of fleet management services around the globe, truly a catalyst for innovation in the fleet industry. We have the global reach, the financial and human capital and the mandate to invest in the business. By combining our fleet operations with GE Fleet operations, we will have the scale and resources to provide new and enhanced services to our customers and revolutionize the North American fleet business. Now we’ll turn the call over to Michel Beland, our CFO.
Michel Beland: Thank you, Brad. Slide 17 looks at the key metrics from the income statement. Financial revenue for the three months period ended June 30, 2015 increased to 208 million from the 187 million in the previous quarter generating net financial income of 150 million for the quarter versus 134 million in the preceding quarter. Adjusted operating expenses were 61 million for the quarter versus 57 million in the immediate previous quarter. Adjusted operating income before income taxes increased by 13% to 89 million for the quarter, versus 78 million in the previous quarter. After tax adjusted operating income was 68 million versus 60 million in the preceding quarter. Slide 18 provides a balance sheet snapshot. Total assets were 15.3 billion at the end of the quarter, an increase of 22% from the 12.5 billion at the end of the preceding quarter. Mostly as a result of the subscription receipts raised on May 29, 2015. The company’s tangible leverage ratio computed on the basis of the most restrictive borrowing covenant decreased to 3.07 to 1 as of June 30th, versus 3.92 to 1 as of March 31, 2015. Again as a result of the equity that was raised earlier at the end of May 2015. Excluding those capital raises, which we did for subsequent M&A transaction, the pro forma tangible leverage ratio treating the convertible debenture as debt only would have been 4.6 to 1 as of June 30th versus 4.5 to 1 as of March 31, 2015. Slide 19 provides a number of operational yields expressed as a percent of average earning assets. Financial revenue as a percent of average earning assets was 8.3% in Q2 versus 7.9% on the previous quarter. Average net financial margin yield of the three months period increased from 5.63% in Q1 to 5.99% in Q2. Adjusted operating expense was 2.44% in Q2, compared to 2.33% in Q1. Adjusted operating income before income taxes increased to 3.55% of average earning assets for the quarter versus 3.30% in the immediate quarter. On the slide 20, both before tax and after tax adjusted operating income has as a return on common shareholders’ equity increased to 2.26% and 9.13% respectively from 11.01% and 8.28% in the previous quarter. Slide 21 provides the number of per share amounts. Book value per share was $10.29 versus $10.20 reported at the end of the previous quarter. Free operating cash flow per share as adjusted operating income before income tax increased to $0.31 per share in Q1 versus $0.21 in the previous quarter. After tax adjusted operating income per share was $0.23 in line with consensus versus $0.21 for the preceding quarter. In addition to these headline basic EPS numbers, we’ve also calculated a fully diluted after tax adjusted operating income per share on a pro forma basis of $0.22, which assumes that all outstanding options are fully exercised on the last day of the quarter, based on the closing share price on that day. On slide 22, we’re showing non-current and impaired assets as a percentage of finance receivables, as well as allowance for credit losses. All these measures are on plan and indicated of the high quality of the finance receivable by reporting on the balance sheet. In terms of our balance sheet capacity, a graph on page 23 shows that the committed funding facility line is more than 12.8 billion of which 3.2 billion was unutilized at June 30, 2015. Well this graph does not illustrate is the incremental funding capacity that is available to the company through the rated asset backed securities market, which we utilize on a regular basis to permanently fund accumulated portfolio of rail and fleet assets. Take you to slide 24, provide you with a snapshot of a pro forma closing balance sheet as of the GE transaction had in fact occurred on June 30, 2015. So as we have indicated previously, we closed the quarter with asset of $15.256 billion. Incremental to the GE transaction, we would have closed the quarter with total assets of $21.858 billion. Tangible leverage ratio, at the bottom of the page, based on the covenant tests would have been 4.12 to 1 compared to 3.07, as reported earlier and the tangible leverage based on the more usual treatment of the debenture as a debt component only and not including both debt and equity would have been 5.24 pro forma the transaction versus 4.19 at the end of June. On page 25, as we’ve on the last previous quarter give you a snapshot of what the closing December 2015 balance sheet looks like. We’re looking at exiting 2015 with 23.5 billion in total assets and again the tangible leverage ratio 4.7 to 1 based on the traditional numbers that we have reported in the past, and a tangible of 6.0 to 1 again with the treatment of convertible debenture as the debt component only. I’ll turn over the call back to Steve.
Steven Hudson: Thanks Michel. Before I close on page 27, let me just make two points of clarification. The first was Brad talked about a very modest uptick in OpEx ratios. That’s due to the IT spend that we put in place to support the consolidation of the GE business. So that will recover and start to decrease again in the latter part of this year Q1 of 2016 and going forward. That said ROA more than exceeded targets. As well, you’ll see in the press release that we’ve quantified what we believe to be the value of the tax deferral. As you know, we’ll not be paying taxes for over 12 years. On the press release, third bullet, you’ll observe that we’ve estimated that value of the unleveraged tax benefit to be $4.50 per share and that is simply the present value back of the tax savings over 12 years at an approximate 6% discount rate. Obviously, the value is higher because you’ll utilize that cash in leverage and to grow the business, but it is a good place to start. What does that mean? It means our stock today, if you take off the $4.50 at $14.60, which is the value of our stock less the tax benefit looks very attractively priced. So hopeful that is some meaningful data and we will continue to track that as we move forward. Finally on page 27, obviously mission one here is to close GE, which is in the process of happening as we speak, to integrate that business to drive the 90 to 95 efficiencies that we know are on hand and hopefully more. We want to continue to grow our fee income. We want to secure a second investment-grade rating that process is underway, which will help decrease our cost of funds. And we want to continue to leverage our business using debt first and equity on a prudent basis. Finally, a lot of questions on industry consolidation, I put a chart on page 27 which shows our three-year strategy commenced in June. Well with the acquisition of TLS Fleet and GE Fleet. The GE Fleet is not the end of the story, if you’re a baseball fan or if you’re a football fan like I am, this is a second quarter process. We need to integrate the discussions that I have and Brad with industry participants in the fleet industry continue. They tend to take time to mature and gestate but we are focused on those. We are the best buyer because of the savings we can produce. Going forward, the savings will even be more material. Our cost of capital, we believe is amongst the best in the industry. Once you add Chesapeake in there, and we have the experience of doing it and producing on the results, targets. People have asked about lease plan, we would note that lease plans business is a different business and provides residual leases, not full payout leases. That is a business where you can make a lot of money and lose money, as observed in the '09 and ’10 downturn, there were losses on residuals. We’re a full pay-out business. So that said though, there is a U.S. aspect to lease plan that, if it comes available, we think it is good fit for us. Obviously [indiscernible] along that in the press and comment. There are also large U.S. fleet companies. Once we digest this and it’s in hand in early ’16, I think you can expect us to see to return and push deals with size and scale as we continue our dominant position in fleet. So stay tuned third and fourth quarter look better than the first and second quarter. A little bit on dividend, a lot of questions on dividend. The company has significant growth, as you’ve seen and phenomenal originations at 1.8 billion this quarter, well in excess of the 1.4 billion of analyst estimates. We have strong earnings growth. We have opportunities for acquisition so the best use of capital, obviously is to reinvest in the business. That said, there are a number of large funds where if we were to turn on a very modest dividend that our equity would qualify for those funds. So you can expect to see that in Q1 of 2016. And I would stress the modest nature of that dividend. We need the cash to grow our business. It’s a best thing for our shareholders and the company, but we would like to have a larger and deeper investor base, so stay tuned for Q1 on that announcement. Operator, that ends the formal part of our call and we would be happy to open the call to questions.
Q - Vincent Caintic: Thank you. I’m impressed with the speed of the HSR approval for the U.S. portion of the GE Fleet business. It seems that implies that there is a large addressable market out there in the U.S. I was wondering if you could speak to that opportunity for both organic and inorganic growth in US fleet.
Bradley Nullmeyer: Yes. Thanks Vincent, its Brad. Certainly the speed of the HSR was well accepted, it wasn’t a surprise of ours. We have a very, very large market out there with respect to what corporations have availability to them, which is self funding fleets. We have a significant-significant market opportunity with customers and clients that are not ours yet, that self fund their own product that have their own staff. This is very much a traditional type of outsourcing for these clients, so there is a lot of growth opportunities there. So we see that every day. We see that in the opportunities in our business plan. And you’re right that the HSR approval is sort of an indication of the size and scale of the denominator when they look at the fleet business.
Steven Hudson: I think Vincent with respect to acquisitive growth, there is lots of comments about smaller tuck-in deals. I won’t mention companies names but the 1 billion to 1.5 billion range, which are important. We should do them accretive so we will look at those, but I’m more focused on the $5 billion and $6 billion deal that we think can be had in 2016. If you look to that size of scale and you look to the savings on this deal, you can expect a savings on the 120 million U.S. to 140 million U.S. of integration savings on that scale. So need to do some long-long-long days and long weekends to get this integration kicked off and going but those dialogues on those larger transactions continue.
Vincent Caintic: Thanks very much, appreciate that. And then thanks for that valuation on the tax yield that 4.50 is really helpful. As your cash flow comes into focus and you also seem to deleverage quickly with your higher earnings power just your comment on the dividend and maybe if you could, there is any sense to the sizing and as capital management maybe comes into your focus? Thanks.
Steven Hudson: That’s just on the value of that tax benefit. As I mentioned, it is the unleveraged value because obviously there is a bigger benefit by being able to put that as you mentioned on our balance sheet and leverage it up. And then on the dividend size, we’re thinking something of a modest dividend, which would make a qualify. Look at it as a 25 to 50 basis points type of yield dividend.
Vincent Caintic: Just a last one from me. There seems to be a lot of global concerns out there, whether its interest rates, energy prices, and then the most recent one seems to be the China and Europe. And I just, is there any global concerns that you have that might affect your U.S. based business?
Steven Hudson: No, we’re a Canadian and U.S. company a little bit, a little slice of Mexico, some portion in Australia and New Zealand, but it doesn’t exceed 10%. So we’re not in Europe. We’re not going back to Europe. We had that experience; we’re not doing that again. We’re not in Asia and not going back. On the energy side, continued oil and gas and other commodities can be very depressed. We did a very detailed scrub which we released to the marketplace six months ago. We don’t have the exposure. We just did another update for our credit committee of our Board yesterday and we continue not to have an exposure, so we’re happy that we have got a prudent underwriting on the commodity based businesses.
Operator: The following question is from Geoff Kwan of RBC Capital Markets. Please go ahead.
Geoff Kwan: Just wanted to get into a little bit more color around originations on the fleet and the commercial and the vendor finance. Look like very good numbers. Just wanted to get a sense on what might have been driving that and how to think about it going forward.
Bradley Nullmeyer: Hi, Geoff, it’s Brad. If you remember a couple quarters ago specifically last quarter, we started to move away from simply originations based upon the fleet business, because not a replacement cycle where clients will replace their cars over 20, 24 month amortization period. With four-year leases, they get replaced about 25%, 30% every year. The metrics there we look at is the growth of the portfolio, which Steve talked about, which is very strong and the growth of our service revenue portion of that which was also very strong. So we’re thrilled both with how that business performed during the quarter and as I spoke about earlier and Steve spoke about the opportunity to grow that business with new innovative products for our current clients for deeper penetration and also for our clients that just do not use a traditional fleet outsourcing model. Our C&V business remains strong. It certainly is benefiting from the continued U.S. recovery. As Steve mentioned, we don’t do the oil and gas energy business in there. We have a very small piece of it but haven’t done very much of it which is good. We have concentrated on manufacturer sponsored finance program and we had very strong originations in our construction segment during the quarter and our transportation segment all in the context of being with manufacturer sponsored programs. So we see that origination strength continuing into Q3 and Q4. We feel very good about that and again, these are all program based, programmatic based originations, Geoff. So I have the ability to forward and I know which of my partners and how much originations they’re looking to originate for us in the next couple of quarters. So very good visibility in the pipeline and it’s very strong.
Geoff Kwan: And then on the GE side, I know you talked about on the synergy side, just wondering if you can talk about, on the timing of the synergies, is it going to more front end loaded, back end loaded? And then also too, have you been having conversations already with some of the suppliers to maybe get those conversations going early?
Steven Hudson: Maybe I’ll get Brad to speak to the status of nature, but in terms of guidance, we’ll be giving quarterly guidance here shortly, which will incorporate when we expect to see the savings. There will be a function of some upfront some in the mid-term, some latter part. The procurement savings obviously will be more front-end based. Brad?
Bradley Nullmeyer: So just a combination of all those things the procurement savings, those are the ones where it’s as simple as putting together the buying power of GE Fleet and ours. As you would expect they had some contracts that were better priced than ours and we had some better priced than those, so we will obviously be going to the better price of those and better because we’re doubling our buying power in everything from oil changes to tires and maintenance and OEM products. So the procurement statement is already well underway. We had done a lot of work with PH&H. GE had done their own procurement scrubs so that process is well underway and those will come in Q3 and Q4. The other parts of the efficiencies the systems savings and the consolidations the back shops again two main frames going into one, those will come out over the 12 to 18 months period after close. So we’ll see a phasing in of those probably 40%, 50% one half of them in the first couple of quarters after close and the remainder will be spread out after the 12 to 18 months after that on the more complicated savings on the systems integration.
Geoff Kwan: Okay. And last question I had was just follow-on from Vincent’s question around the macro environment. Just was wondering maybe asking it from a different perspective, if there is anything that you are seeing granted it may be early days from your clients as to how they’re looking at operating their business, whether or not they might be operating it perhaps a little bit more cautiously?
Steven Hudson: In the US, Geoffrey?
Geoff Kwan: Yes, in the US side?
Steven Hudson: Yes, it’s actually office that we are leveraged we’re a direct correlation to the U.S. economy and we’re seeing very it’s a very strong cycle with equipment replacement continuing. So it’s a good time to have a dominant business in the U.S. and our exposure to oil and gas, where you are seeing slowness and reduction spending is very modest.
Operator: [Operator Instructions] The next question is from Nick Stogdill of Credit Suisse. Please go ahead.
Nick Stogdill: A quick question for Brad. Just going back to the commercial and vendor originations. I know you typically don’t comment on the specific number of relationships, but a couple of quarters ago, it was at 25 to 30. Have you seen substantial growth in that base or are you driving deeper penetration from your existing relationships?
Bradley Nullmeyer: Nick, its Brad. Mostly, we have had some growth not again for obvious reasons I don’t like to quote each one of them, but we have had some growth in new programs. As you’d expect those come on and they take time to build. The big part of our origination growth in the last couple of quarters and going forward will be deepening the penetrations with our clients already in place. So that is taking our program agreements that we know are in place and as we build those and as we get the two entities working together and get the originations flowing that is where we’ve seen the real growth. The vast majority of that increase is with current programs although we have added a modest number during the quarter.
Nick Stogdill: Could you maybe just talk little bit about sustainability of the ROA in that division this quarter? So you had good revenue yield maybe how much was lifted from syndication there?
Bradley Nullmeyer: So the ROA, if we look back over a period of time ranges and it moves around a little bit with the syndication. On a global and overall year-to-date basis, we expect it to be comparable with last year. So that can move up and down a little bit, but we expect it to be sustainable in the mid-3 type of range, but again it does move up and down from 2.5 up with the f 4.
Nick Stogdill: Just one more for Steve or maybe Michel. I was just wondering if you could disclose what FX rate you’d assumed in your 2016 EPS guidance of $1.60, and if you’ve taken any steps to hedge those earnings at this stage?
Steven Hudson: The projection the numbers we’ve provided were based on the $1.25 Canadian dollar rate.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting back over to Mr. John Sadler.
Steven Hudson: Actually, before John closes, just I want to reemphasize to the question raised earlier that we have a significant correlation to the U.S. economy that's our principal business. Our U.S. mix will continue to grow well north of [indiscernible] as we grow with GE Capital Fleet. The GE Capital Fleet and the Element Fleet deal puts us into the C-Suite of many U.S. corporations. We’ve got the, as our friend in the GM would say the heartbeat of America. We have got a good pulse on it and we’re quite proud to have the business be a U.S. focused business.
John Sadler: Great. Thank you, Steve and thank you, operator and thank you, everyone for joining us this afternoon. We will look forward to briefing you on our third quarter results sometime in the middle of November. Talk to you then. Take care.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.